Operator: Good afternoon. Welcome to Veritone’s Fourth Quarter 2018 Earnings Conference Call. After the market closed today, Veritone issued a press release announcing its results for the fourth quarter and full year ended December 31, 2018. The press release is available in the Investor Relations section of Veritone’s website. Joining us for today’s call are Veritone’s Chairman and CEO, Chad Steelberg; and the company’s Chief Financial Officer, Pete Collins. Following their remarks, we will open up the call for questions. Please note that certain information discussed on the call today will include forward-looking statements about future events and Veritone’s business strategy and future financial and operating performance, including its expected net revenues for the first quarter of 2019. These forward-looking statements are subject to risks, uncertainties and assumptions that may cause the actual results to differ materially from those stated or implied by those statements. Certain of these risks and assumptions are discussed in Veritone’s filings, including its Annual Report on Form 10-K. These forward-looking statements are based on assumptions as of today, February 21, 2019, and Veritone undertakes no obligation to revise or update them. In addition to the company’s GAAP financial results, during this call, management – we will be presenting and discussing the company’s earnings before interest, expense, depreciation, amortization and stock-based compensation, adjusted to exclude certain acquisition, integration and financial related expenses or adjusted EBITDA, which is a non-GAAP financial measure, a reconciliation of the company’s adjusted EBITDA to its net loss is included in the company’s press release issued today. Finally, I would like to remind everyone that this call is being recorded and will be made available for replay via a link available in the Investor Relations section of the company’s website at www.veritone.com. I would now like to turn the call over to Veritone’s Chairman and CEO, Chad Steelberg. Sir, please proceed.
Chad Steelberg: Thank you, operator. Welcome everyone and thank you for joining us today. I’m very pleased with our strong financial and operating performance in the fourth quarter. Our revenue was a record $10.9 million, an increase of more than 200% compared with the fourth quarter of 2017. We delivered on the forecasted revenues and product synergies linked to the three strategic acquisitions that we closed in the prior quarter. We expanded our customer base and revenues by successfully deploying three organically developed aiWARE applications, Redact, Identify and Attribute. And finally, Veritone One closed the year on a high note, continuing leverage aiWARE to differentiate its advertising services. As a whole, Veritone enters 2019 in the strongest strategic and operational position since our inception in 2014. Taking a broader look for a moment, I’d like to reflect on some of the key objectives we outlined during our IPO in May of 2017. The first objective was to reduce the advertising component of our revenue mix, which was 95% in the first quarter of 2017 to 20% or less are growing our aiWARE SaaS business through organic growth and strategic acquisitions. Seven quarters later Veritone’s revenue mix in the fourth quarter of 2018 with 55% advertising and 45% aiWARE software and services. We expect this trend to continue for the foreseeable future and expect our aiWARE revenue to cross the 50% threshold in the first half of this year. The second objective was to reduce our adjusted EBITDAS loss as a percentage of our net revenue from 207% in the first quarter of 2017 to eventually achieving a positive adjusted EBITDAS run rate. Veritone’s adjusted EBITDAS loss rate in the fourth quarter of 2018 was 82%, the lowest rate in our history, compared with 292% in the fourth quarter of 2017. We believe that by continuing to reduce our adjusted EBITDAS loss rate while simultaneously driving significant top-line growth, we will maximize our long-term shareholder value. This is a proven strategy that some of the most valuable SaaS companies have successfully executed and one that we are committed to following. Our M&A strategy has delivered significant results and helped us evolve our business over the past 12 months. Wazee Digital has added key applications and services that allow us to take part in developing, distributing and monetizing entertainment content. Performance grades has been combined with our existing advertising team to establish us as a leader in the podcast advertising industry. And Machine Box brought us the capability to create customized cognitive engine in categories including facial detection and recognition, object detection and logo recognition. The integration of these applications, services and algorithm into aiWARE is a key part of our strategy in 2019 and beyond. Our land-and-expand strategy delivered organic revenue growth in our aiWARE SaaS business exceeding 200% in 2018. iHeartMedia, Entercom Communication, and ESPN are few of the well known companies that we serve today and where we’ve had significant year-over-year net revenue growth. We landed these customers in 2016 and have expanded our business with them over the past two years. At first, this expansion was a result of adding more content to be processed by aiWARE, and then at a second wave of expansion as a number of aiWARE users increased proportionally with the value aiWARE was delivering. We are now starting to see the third wave of expansion, driven by new aiWARE applications. The attribute application that we introduced in the fourth quarter provides broadcasters with the capability to collaborate with their customers, the advertisers to measure ad campaign effectiveness and assist in measuring advertising ROI in real time. The combination of enhanced capabilities via Wazee and Attribute gives us the opportunity to land new customers and expand with our existing customers in media and entertainment in 2019. Our strategy in the legal and compliance vertical started out very well in 2018 with net revenues in the first quarter exceeding $600,000, but industry misalignment and our dependency on third-party service providers became a material challenge. We have reevaluated our go-to-market strategy for the legal and compliance market and will introduce new applications within the next few months that will provide a cost-effective method for the analysis of large quantities of audio, video, and structured data. These applications are being built as aiWARE native application and we’ll leverage the broad base of cognitive engine and orchestration that are part of our core offerings. We remained committed to this industry vertical, because of two factors. Many businesses are expected to increase the effective monitoring of all forms of communication, of emails to phone calls, and the tools that are available today are poorly designed and lack the broad AI capabilities that aiWARE delivers. Our strategy in the government vertical in 2018 was focused on developing two killer applications for the local law enforcement community. Local fleet agencies have more videos and audio data today than ever before and their continued ability to protect and serve our community is dependent on them effectively and efficiently analyzing this data in real time at scale. We launched two applications in the fourth quarter; Identify and Redact, to directly address critical pain points being experienced by law enforcement today. Identify allows users to upload and maintain booking known offender databases in aiWARE and use facial recognition technology to automatically compare images of potential suspects with these databases to rapidly identify them for further investigation. This enables agencies to accelerate the identification of suspects and reduces officer’s investigation time. In addition to the local police agency, we collaborate with to develop Identify; it is now deployed in paid pilot project at two large international police departments by a global system integrator. The second application, Redact. Reducing the time and human effort required to Redact audio and video files. The increasing volume of video being collected as well as new regulations that require police agencies to publish much more footage have caused law enforcement agencies to have to use significantly more manpower to blur out a wide range of protected content before that footage is shared with prosecutors for the public. In our initial paid pilot projects with large agencies, Redact is improving the efficiency of this process by more than 75%, which reduces the agency’s redaction cost and allows officers to spend more time on higher value activities. In addition to continuing to focus and execute on aforementioned strategy, we’ve identified two new strategic initiatives for 2019. First, we are working to reduce the friction in our sales and marketing efforts by deploying a self-service signup solution that will allow customers to experience the power of aiWARE application expediting and automating the traditional enterprise marketing, sales and contracting processes. The net objective is to reduce customer acquisition cost and expand market share. Second, we are working to reduce the complexity of building and customizing aiWARE applications by developing a set of no code, low code tools and applications. This will allow a customer’s data analysts or business users to leverage aiWARE instead of it requiring scarce and expensive engineering and data science resources. This strategy is being driven by our customers and system integrator partners, and I’m confident that it will both significantly expand the range of used cases aiWARE can address and embedded even deeper into our customers’ operations. Looking to the future, our vision of an enterprise powered by ubiquitous aiWARE operating system remains a vibrant and clear as ever. As I’ve said many times before, nobody wants two cups of AI. They want the powerful solutions that artificial intelligence can provide. When Veritone first launched, the concept of an AI operating system was boring and frankly poorly understood, the market is still grappling with that concept. But as we roll out more aiWARE enabled applications, the proverbial life holds are starting to shine brightly from every corner of the enterprise we serve. As 2019 unfolds, we’ve promised to tirelessly execute on these strategies and provide our investors with the recount of our progress and successes. With that, I’ll ask Pete Collins, our CFO, to review our Q4 and full-year financial results. Pete?
Pete Collins: Thank you, Chad, and good afternoon everyone. As Chad mentioned, we achieved our fourth quarter 2018 goals and set the stage for a strong 2019. I will first review our fourth quarter 2018 performance compared with the fourth quarter of 2017; remember that we acquired Wazee Digital and Performance Bridge in August of 2018. So, this was the first full quarter reflecting their impact. Our net revenues increased 213% from $3.5 million to $10.9 million, thanks [ph] to this $4.8 million contribution from our recent acquisitions, the addition of new customers and growth with existing customers. Our aiWARE SaaS net revenues were $2.4 million, including approximately $900,000 from Wazee Digital’s core and Digital Media Hub applications. Excluding the acquisitions, our aiWARE SaaS net revenues increased by $1.0 million or a 211% to $1.5 million from $477,000 in the fourth quarter of 2017. This increase reflects the growth we saw both in the number of active clients and the spend from those clients as well as the performance incentive we earned during the quarter. aiWARE Content Licensing and Media Services had net revenue of $2.5 million. The fourth quarter is generally the seasonally slowest quarter in this business since a good portion of an annual revenues come from sporting events that occur in the first, second and third quarters. Within our aiWARE SaaS business, our net revenue growth was anchored by our media and entertainment vertical market. We continued to execute well on our land-and-expand strategy with customers as Chad discussed earlier. Excluding the acquisitions, our aiWARE SaaS monthly recurring revenue or MRR under agreements in effect at the end of the fourth quarter increased 32% to $229,000 from $173,000 in the fourth quarter last year. Remember that MRR excludes some agreements we have with media customers that are variable revenue as well as the project based revenues in our legal vertical, because of this, our MRR was up 32% while our total aiWARE SaaS revenue was up 211%. We see this dynamic continuing overtime. Including the Wazee MRR, which was $313,000 at the end of the fourth quarter. Our total aiWARE SaaS MRR at the end of the fourth quarter was $542,000. Our aiWARE SaaS bookings in the fourth quarter were $1.2 million, including approximately $300,000 for the core and DMH applications that we added when we acquired Wazee. When I exclude the core and DMH bookings, so the trend is comparable. Our fourth quarter bookings increased approximately 150% over the fourth quarter of 2017 and approximately 300% over the third quarter of 2018. The fourth quarter bookings were in media and entertainment and government verticals. Our advertising net revenues increased to $6.0 million including a $1.3 million contribution from Performance Bridge from $3.0 million in the fourth quarter of last year. While we had an increase in the number of active clients, the majority of the growth is attributable to a significant campaign run by one of our customers in the fourth quarter, which we do not expect to recur at the same level in the first quarter of 2019. We had 76 active advertising clients in the fourth quarter of 2018 compared with 57 in the fourth quarter of 2017, an increase of 33%. Our gross profit increased 128% to $7.4 million from $3.3 million in the same period of 2017. This increase in gross profit in the fourth quarter of 2018 compared with the prior year period was due primarily to the higher revenue level from our aiWARE SaaS business and the contribution of our recent acquisitions. Our gross margin was 68% versus 93% in the fourth quarter of 2017. The decrease in gross margin reflects the higher proportion of net revenues from our aiWARE SaaS and aiWARE Content Licensing and Media Services businesses, which generally carried lower gross margins in our advertising business and higher amortization expense related to technology acquired in our recent acquisitions. Our total operating expense has increased to $25.5 million from $16.0 million in the same period of 2017 driven by the addition of $3.7 million of expenses associated with our acquired companies as well as to higher stock-based compensation and earn out incentives associated with one of the acquisitions. Depreciation and amortization also increased year-over-year due to the amortization of intangibles related to the businesses we acquired in the third quarter of 2018. Our loss from operations with $18.0 million compared with the loss of $12.8 million in the fourth of 2017. Our net loss attributable to common stockholders totaled $17.8 million or $0.92 per share compared with a net loss of $12.8 million or $0.83 per share in the fourth quarter of 2017. Now, turning to our non-GAAP results. Our fourth quarter adjusted EBITDAS loss was $8.9 million, down from a $10.2 million loss in the fourth quarter of 2017. Our adjusted EBITDAS loss in the fourth quarter was 82% of net revenue compared with 114% in the third quarter of 2018, and 292% in the fourth quarter of 2017. This is the first time that ratio has been better than 100%. We plan to leverage our expected revenue growth and prudent expense management to continue to reduce our adjusted EBITDAS loss as a percentage of net revenues in 2019. This quarter, we exceeded the forecasted increase of all of four of the KPIs for our aiWARE operating system. Please note that these KPIs do not include any contributions from our recent acquisitions. They are currently in the process of reviewing all of our current KPIs as we integrate our recent acquisitions to ensure that they are the best metrics with which to assess our operating performance. The number of cognitive engines on the platform increased to 287 versus our forecast of 275, the amount of media ingested and processed in the quarter exceeded 3.5 million hours compared with our forecast of 2.9 million hours. The number of customers increased to 97 compared with our forecast of 89. During the quarter, we added 180 accounts growing the total to 814 compared with our forecast of 728. For advertising business, we evaluate three KPIs. During the fourth quarter of this year, we added 14 new clients as same as in the fourth quarter of 2017. In terms of active clients for the quarter, we had a total of 76 increasing 33% compared with 57 in the fourth quarter of 2017. Our average media spend per client during the fourth quarter was $616,000, a 33% increase compared with $464,000 in the fourth quarter last year. This increase in spend per client benefited from the significant ad campaign by one client in the fourth quarter of 2018 that I mentioned earlier. Now, I will discuss results for the full year ended December 31, 2018. Net revenues increased to $27.0 million including $7.0 million from our recent acquisitions, up from $14.4 million in 2017. Advertising revenues for 2018 totaled $17.1 million including $1.7 million from our recent acquisitions compared with $12.9 million in the prior year. Excluding the impact of the recent acquisitions, our advertising net revenues increased by 19% year-over-year. aiWARE SaaS revenues increased to $6.0 million including $1.3 million from the third quarter acquisitions compared with $1.5 million in 2017. Excluding the impact of the recent acquisitions, our aiWARE SaaS net revenues increased by 220% year-over-year. aiWARE Content Licensing and Media Services revenues were $3.9 million and all associated with the Wazee Digital business that we acquired in the third quarter of 2018. net loss attributable to common stockholders totaled $61.1 million or $3.48 per share compared with a net loss of $64.1 million or $6.20 per share in 2017. Adjusted EBITDAS totaled a loss of $39.0 million, compared with a loss of $30.2 million in 2017. our balance sheet remains strong. As of December 31, 2018, we had cash and cash equivalents and marketable securities totaling $50.9 million and no long-term debt. The cash and marketable securities balance includes cash received from clients for future payments of $7.5 million. Looking to the first quarter of 2019 for the quarter, we expect that our net revenues will be between $11.5 million and $11.9 million. The net revenue ranges based upon the signed agreements in place today. The expected net revenues from our aiWARE Content Licensing and Media Services based on recent and historical trends and the plan spending by our advertising clients. This range of net revenues does not include potential projects including e-discovery or media and entertainment archive processing that have not yet started as those are difficult to forecast accurately. and with that, I will turn the call back over to Chad for his additional remarks. Chad?
Chad Steelberg: Thanks Pete. We are very pleased that our annual revenue increased by 88% in 2018 and that our adjusted EBITDAS loss margin in the fourth quarter was the lowest level in our history. We are excited about furthering these trends in 2019. We are on track to drive to scale revenue growth and bottom-line improvement with our land-and-expand, self-service sign up and app development strategy. We also look forward to connecting with our investors and analysts. Next week, we will be at the JMP securities Technology Conference in San Francisco. Then in the week of March 18, we will be at the Annual ROTH Conference in Dana Point. As this event is a short distance from our offices, we will be holding our first Investor Day at our headquarters in Costa Mesa on March 20. our team will be in touch with more details or please contact LHA investor relations with questions about these events. Operator, I would like to begin the Q&A session.
Operator: [Operator Instructions] Your first question comes from the line of Mike Latimore from Northland Capital. Your line is open.
Mike Latimore: Great, thank you. Yes, and congratulations on the quarter. Looks Great. Your first quarter guidance, your revenue guidance is sort of well above what I was looking for, I guess. Can you talk a little bit about what you’re seeing in the business? What’s driving that sequential growth in the first quarter?
Chad Steelberg: Hey, Mike. This is Chad. Pete, I want you to take that?
Pete Collins: Yes. So, Mike, the business, with the bookings that we had especially in the fourth quarter nearly $900,000 on the SaaS aiWARE side, plus the bookings for aiWARE for Wazee Digital is about $300,000, helps us to be at a place now, where we’re confident with that range of $11.5 million to $11.9 million from a net revenue perspective. So, it’s the sequential growth that we’ve seen and kind of building on the success we’ve had, especially from a kind of a land-and-expand perspective that gives us confidence that we’ll land net revenues in Q1 in that range.
Mike Latimore: So, most of the sequential growth probably in the AI and Digital content revenue line there?
Chad Steelberg: Yes. Well, also that the aiWARE Content Licensing and Media Services business will have a better quarter in Q1. As we talked about in the prepared remarks, fourth quarter is a seasonally slow quarter for that part of our business. The other thing is that the advertising business, we talked about the strength in the fourth quarter, especially with one customer’s campaign, and we’re not expecting that to recur in the first quarter. So there’s a little bit of puts and takes that I would kind of put into the seasonal category, but the thing that’s more consistent quarter-to-quarter is that aiWARE staff side of the business.
Mike Latimore: Yes. I think you announced at least one deal with Digital Media Hub and an AI were combined, can you talk a little bit about just the pipeline you’re seeing on that combined platform?
Chad Steelberg: Yes, Mike. Our integrations with those companies have gone very, very well. The aiWARE enabled Wazee applications are proving to be extremely powerful solution in the M&A space. We have sold several integrated solution to date and we have a pipeline to continue to expand nothing, but green lights from my perspective at the end of 2018 on the integration of those products in the aiWARE.
Mike Latimore: Okay. And just last [Technical Difficulty] and then how would you – I mean, if you do have them in the pipeline, how do you think about that relative to maybe guidance. Do you include or exclude them?
Chad Steelberg: What we exclude from the guidance is really those project based work. Anytime we’re sending customers that are kind of dispose that application clients, that’s really where we’re focused on guidance. Many of our borrower relationships are in the government vertical and our partners are primarily global system integrators. We’ve had modest revenues in these relationships so far, but we now have three active paid pilot projects in the government vertical with one of these partners and the pipeline continues to expand. We believe that these borrowers can help with scale and entry certain verticals such as government more quickly and we’re continuing to evaluate how we can structure these relationships to maximize sales as they leveraged the business and products that we’ve delivered.
Mike Latimore: Great. Thanks a lot. Good luck this year.
Chad Steelberg: Thanks, Mike.
Pete Collins: Thanks.
Operator: Your next question comes from the line of Chad Bennett from Craig-Hallum. Your line is open.
Chad Bennett: Great. Nice job on the quarter guys. Thanks for taking my questions.
Chad Steelberg: Thanks, Chad.
Chad Bennett: maybe real – a couple of quick ones for Pete, I think. So Pete, in light of the revenue shift, which has been well advertised to your aiWARE SaaS and Content Licensing business, which is a good thing, longer-term, how should we think about gross margins kind of into 2019 or blended for the year. And then from an OpEx standpoint, considering where you were in the December quarter, on a dollar basis is that kind of constant throughout next year or any fluctuations there?
Chad Steelberg: So, Pete, can you start?
Pete Collins: Yes. So Chad, let me start with the gross margin. So, we’ve said in the past that our advertising business has a very healthy gross margin just by the nature of it, so north of 90%. And then our aiWARE both on the SaaS and the Content Licensing has margins that are in the range of 45% to 65% depending upon the specific type. So, as the revenue mix shifts more to that aiWARE side of the business, it will naturally bring our blended margin to levels that are lower than what we’ve had in the past. The other thing that I want to point out for this quarter is that we’ve had a bit of a step function increase in the cost of revenues and a reduction in our gross margin associated with the amortization of technologies that we acquired as part of the three acquisitions we did back in the third quarter. So that amortization charge in the fourth quarter was about 720 basis points of gross margin. So, if you do the math, we would have been closer to a 75% margin rate without that amortization from the acquired technology. So, I think to answer your question though, as our revenues increased more on the aiWARE side, we do expect to see the margins come down just because of the mix shift.
Chad Bennett: Pete, does that amortization charge at 720 basis points, is that a one-time issue or is that consistent going forward at least for – on a straight line basis over a number of years.
Pete Collins: It’s the latter. It’ll be there for a while now.
Chad Bennett: Okay. Got it. Okay. And then maybe, a follow-up for Chad. Chad, the apps that you guys have released in the fourth quarter looked really interesting and I’m just curious as we look into 2019, not that you want to kind of let everything out ahead of time, but how should we think about app development and app releases in 2019 and maybe potential areas or use cases. And then also I’d love to get your kind of thought process on what we should expect out of Machine Box in 2019 and potential opportunities there? Thanks.
Chad Steelberg: Sure, Chad. Yes, so answer is yes, we will continue with our application development in 2019. this will include new applications further and further enhancements in our existing application. Some of the new applications that we’ll be rolling out, we’ll be addressing specific issues and specific verticals such as legal and compliance as we mentioned in the prepared remarks and others will enhance the ability of our customers to leverage aiWARE for additional use cases across all markets. I alluded to some of that in terms of our no code, low code, new sets of applications that we expect to roll out in the first half of this year. And we believe that will dramatically improve the adoption of aiWARE and some of the custom applications that we expect our partners to be building.
Chad Bennett: Okay. And then on the Machine Box side.
Chad Steelberg: Yes. On the Machine Box piece, really, I mean the strategic nature of that was the fact that it gave us the in-house capabilities to build the spoke and custom models for our industries and our partners. With conductor, it really requires a set of engines and models to be arbitrated between and the marketplace really wasn’t producing neither scale that can be customized in real-time. So, we’ve been very pleased with the Machine Box technology to date. We’ve seen additional models that are rolled out such as Object Box as well as logo and we continue to expect great things from them in 2019.
Chad Bennett: Great. Thanks guys.
Pete Collins: Thank you, Chad.
Operator: your next question comes from the line of Dillon Heslin from ROTH Capital Partners. Your line is open.
Dillon Heslin: Hi, thanks for taking my question. First one, could you talk a little bit about the progress that you saw in public and safety, and sort of how the pipeline starts to develop there and what sort of timeframe there is for a little bit more revenue contribution. And then on that, how much is that is inbound or outbound versus some of the products that you might be planning to build?
Chad Steelberg: Yes, Pete, I’ll take the first one, you can take the second part of that question.
Pete Collins: Okay.
Chad Steelberg: So, in the governance [ph] it was specifically, we believe that industry is extremely scalable for us and the opportunity is large and based on conversations we’ve had with customers needs verticals. We have developed and are continuing to develop new applications. The pipeline and the tools that we’re rolling out, where we are starting to allow aiWARE to flex its muscle in terms of lowering the cost of application development, targeting the needs for our customers. I expected the combination of these specialized applications that utilize the average stack as well as the self-service signup aspects of our 2019 initiative is truly going to drive, unprecedented scale in the business in 2019. Pete?
Pete Collins: So Dillon, you asked, I think there’s the follow-on question was about what the pipeline for government, is that what you were looking for?
Dillon Heslin: Yes. Sort of the pipeline and when do you expect some revenue contribution or what sort of the outlook for what could be a realistic revenue contribution from the vertical?
Pete Collins: Yes. So, Chad talked in his prepared remarks about the three paid pilots we’ve got going on in the first quarter in the government sector. Two of them, well, they’re both across the Identify and the Redact applications. So, as far as what we’re seeing is at least in the first quarter is six-figure type revenues coming in for those paid pilot projects. And I think that then beyond that as we progress and deliver those and then move into the next phase, hopefully for those projects as well as working with Global System integrators to then move on to other opportunities, we’ll be able to update you as we progress.
Dillon Heslin: Got it. Thank you. And then just as a follow-up, you mentioned they took over some incentives you received. What was that related to and are you able to quantify what it was?
Pete Collins: Yes. We’ve said before that we’ve got some of our SaaS revenue on the media and entertainment space, and has a variable component to it. And one of our customers we do a year long kind of arrangement with them and because we didn’t achieve the goal until the fourth quarter, we’ve recognized that full amount in the fourth quarter and that, that worked out to be right around $400,000 that was recorded in the fourth quarter. So, it recognizes the work we’ve done throughout the year, but from just a pure revenue recognition perspective, it gets booked in the fourth quarter.
Dillon Heslin: Got it. Thank you.
Pete Collins: Sure.
Chad Steelberg: Thanks.
Operator: Your next question comes from the line of Tom Diffely from D.A. Davidson. Your line is open.
Tom Diffely: Yes. Good afternoon. First, a question on some of the programs you’re working on. Will you set up kind of a long-term view, Identify and Redact? I know right now they’re project based, but long-term is that going to be more of a subscription model or standardized software sale or is it going to be project based going forward?
Chad Steelberg: Yes. Hey, actually the revenue that we’re receiving in the fourth quarter with these paid pilots is not project based revenue. They are all be subscription based classic fast based models. The exciting news with redact is really we’re moving that part, because it’s not isolated in restricted to adjust the government sector. There are many industries that require an expedited redaction process. And so that’s one of the reasons why we’re focused on rolling out our first self-service sign up process and that initial application that’ll benefit from that is the redaction app.
Tom Diffely: Okay, great. And Pete, because of the acquisitions for the quarter now, what’s your view on OpEx over that on a go-forward basis from here?
Pete Collins: So, we had the acquisitions included in the business for the whole fourth quarter as you said. Our head count, which makes up a big portion of our operating expenses, finished the year at 316. We’re looking to increase that by less than 10% over the course of 2019. So, I think Tom, as far as it’s kind of overhead goes, the run rate we were on in the fourth quarter with relatively modest increase in head count anticipated over the course of the year is kind of what we’re thinking of. So, we’re always balancing revenues with the bottom line and big variable in there is those operating expenses in order – depending upon how the revenue is doing with the goal on achieving our adjusted EBITDAS amount, if we’re fortunate and we’re able to generate incremental revenues above our plan, then we would be in a position, potentially to invest more in building the business for the long-term with the operating expenses. But it’s that balance that we’re looking to achieve between revenues and adjusted EBITDAS loss.
Tom Diffely: Okay. That makes a lot of sense. And then when you look at, I guess the other side, the cash burn side, is it a kind of a steady state again, or are there still some one-time integration once that have to go through?
Pete Collins: No, I’d say the remarks that we made were that we’re going to be looking to reduce the adjusted EBITDAS loss in 2019 in comparison to 2018. So that would not be steady state. And then also the ratio of the EBITDAS loss to the revenues also will be coming down [Technical Difficulty].
Tom Diffely: Thank you.
Operator: There are no further questions at this time. I’ll turn the call back over to the presenters.
Pete Collins: So, let me take you to Chad.
Chad Steelberg: Thank you for joining us on today’s call. We want to thank our employees, partners and investors for supporting us as we pursue our mission of building in the operating system of the future. We look forward to updating you on our progress on our next call. I’ll turn the call back over to the operator. Operator?
Operator: This concludes today’s conference call. You may now disconnect.